Operator: Hello, and welcome to the Robert Half International Second Quarter 2011 Conference Call. Our host for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half International; and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Harold Messmer: Thank you, and good afternoon. We appreciate you joining us today. Before we review our second quarter results, I would like to remind everyone that comments made in this call contain predictions, estimates and other forward-looking statements. These statements represent our current judgment of what the future holds and include words, such as forecast, estimate, project, expect, believe, guidance and similar expressions. We believe these remarks to be reasonable but would remind you that they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. We have described some of these risks and uncertainties in today's press release and in our SEC filings, including our 10-Ks, 10-Qs and today's 8-K. We assume no obligation to update the statements made on this conference call. Now let's discuss the second quarter. The second quarter revenues were $938 million, up 22% from 1 year ago. Second quarter income per share of $0.25 is triple that of the year-ago period. Cash flow from operations in the second quarter was $69 million, and capital expenditures were $14 million. We paid a cash dividend of $0.14 per share to stockholders during the second quarter for a total of $20 million. We also repurchased 2 million RHI shares during the quarter, spending a total of $56 million for this purpose. Approximately, 8.4 million shares remain available under our board approved stock repurchase plan. This is the fifth consecutive quarter we have reported accelerating year-over-year growth rates for our consolidated revenues. We once again saw a broad-based improving demand for our professional staffing services and Protiviti during the second quarter, both in North America and abroad. Our permanent placement and technology staffing divisions were particularly strong. The pricing environment also continued to improve during the quarter, which contributed to higher gross margins. Our CFO, Keith Waddell, will now provide you with a more detailed look at second quarter results.
M. Waddell: Thank you, Max. As noted, company-wide revenues were $938 million in the second quarter. This is up 22% from 1 year ago and up 6% sequentially. The second quarter had 63 billing days, the same as in both the prior year and the prior quarter. The current quarter has 64 billing days. Accountemps had revenues of $345 million in the second quarter, an increase of 17% compared to the second quarter of last year and an increase of 5% sequentially. Accountemps is our largest staffing division with 354 offices worldwide and accounts for 37% of company revenues. OfficeTeam revenues were $189 million, an increase of 25% from the second quarter of 2010 and an increase of 7% from the first quarter of this year. OfficeTeam, which was established 20 years ago, is our high-end administrative staffing division. It represents 20% of company-wide revenues. There are 317 OfficeTeam locations worldwide. Second quarter revenue for Robert Half Management Resources was $113 million, this is an increase of 22% from a year ago and an increase of 2% sequentially. Robert Half Management Resources places senior-level accounting and finance professionals on a project basis. It was introduced in 1997 and has 153 locations worldwide. This division makes up 12% of company-wide revenues. Second quarter revenues for Robert Half Technology were $105 million, up 29% from the second quarter of 2010 and up 9% sequentially. Robert Half Technology was introduced in 1994 and places information technology professionals on a project and full-time basis. This business operates in 114 locations worldwide and accounts for 11% of company-wide revenues. Robert Half Finance & Accounting, which is our permanent placement division, had another very strong quarter. Second quarter revenues were $81 million, a 44% increase from the second quarter of 2010 and an increase of 19% sequentially. Our permanent placement services were established in 1948 and are in 354 locations worldwide. This business accounts for 9% of company-wide revenues. Second quarter revenues for our International Staffing Operations were $258 million. This is an increase of 37% from last year and an increase of 6% from the first quarter. On a constant-currency basis, these growth rates were 23% versus 1 year ago and 2% sequentially. We have staffing operations in 104 locations in 19 countries outside the U.S., international staffing operations represent 31% of total staffing revenues. Protiviti revenues were $105 million in the second quarter, up 13% from 1 year ago and up 6% sequentially. Formed in 2002, Protiviti is a global business consulting and an internal audit firm providing risk, advisory and transaction services. Protiviti, including its independently owned member firms, serves clients through a network of 71 locations in 23 countries. Protiviti's international operations represent 28% of total Protiviti revenues. Now let's review gross margin. Second quarter gross margin in our temporary and consulting staffing operations was $263 million or 35% of applicable revenues. This compares with 34.1% of revenues for the second quarter of last year and 34.4% of revenues for the first quarter of 2011. The year-over-year and sequential improvements are due to the combination of higher pay bill spreads and higher conversion revenues, which were partially offset by higher state unemployment taxes. In addition, workers compensation actuarial reviews resulted in credits of $1.3 million for both the second quarter of this year and last year. Overall staffing gross margin was $344 million in the second quarter or 41.3% of staffing revenues. This compares to 39.6% of revenues in Q2 2010 and 40% of revenues last quarter. The mix of permanent placement revenues directly impacts overall gross margin and represents 9.7% of this quarter's staffing revenues compared to 8.3% and 8.6% of revenues for Q2 2010 and Q1 2011, respectively. Second quarter gross margin for Protiviti was $28 million or 26.9% of Protiviti revenues, as compared to $22 million or 24% of Protiviti revenues in Q2 2010. Protiviti group gross margin grew 26% year-over-year and 14% sequentially owing to higher utilization rates and firming billing rates. Turning to SG&A costs. Staffing SG&A costs for the second quarter were $284 million or 34.1% of staffing revenues, this compares to $238 million or 35.3% of revenues for the second quarter 1 year ago and $267 million or 34.2% of revenues for the first quarter of 2011. Higher SG&A costs were due primarily to increased payroll cost, including higher headcounts and incentive compensation payouts. Second quarter SG&A cost for Protiviti were $27 million, 26% of Protiviti revenues. This compares to $29 million or 31.2% of revenues for the second quarter a year ago and $26 million or 26.7% of revenues for the first quarter of 2011. The prior year's second quarter included $2.4 million in legal settlement costs, which did not reoccur. Operating income from our staffing divisions was $60 million during the second quarter or 7.2% of staffing revenues. The temporary and consulting divisions contributed $46 million of this amount or 6.1% of applicable revenues. Second quarter operating income for our permanent placement division was $14 million or 17.2% of applicable revenues. Operating income for Protiviti was $1 million in the second quarter or 0.9% of revenues. This compares to an operating loss of $6.8 million in the second quarter 1 year ago. Accounts receivable were $495 million at the end of the second quarter with implied days outstanding of 48.1 days compared to 45.5 days at the end of the second quarter 1 year ago. Now let's turn to guidance. We saw the following trends in the second quarter and the first few weeks of July. On a same-day sequential basis, temporary and consulting revenues were up in April, up in May, and up again in June. On a same-day basis, permanent placement revenues were down in April, up in May and up again in June. During the first 2 weeks of July, revenues from our temporary and consulting businesses were up 19% compared to the same period last year. For the first 3 weeks of July, revenues from our permanent placement division were up 27% compared to the same period last year. That said, we'd remind you that permanent placement trends are difficult to assess over short periods of time. Taking into account these trends, we offer the following third quarter guidance. Revenues, $940 million to $990 million. Income per share, $0.24 to $0.29. It is our policy to limit guidance to 1 quarter. Any estimates we provide on this call are subject to the risks mentioned in today's press release. Consistent with past quarters, our guidance does not include any amounts for the possible settlement of outstanding legal claims. Now I'll turn the call back to Max.
Harold Messmer: Thank you, Keith. We continue to see broad-based revenue growth and improving demand within our professional staffing operations and Protiviti during the second quarter. Our permanent placement operations reported a very strong quarter with revenues at their highest levels since the third quarter of 2008. We credit our outstanding field team for these results. As I noted on our last conference call, this has been among the fastest post downturn recoveries we have seen in our business. This last recession was deeper than past ones in our history, but revenues have grown faster than in periods following other downturns. Notwithstanding the disappointing jobs report for June, we saw higher demand for our professional staffing services in the United States throughout the second quarter. Our staffing operations in Continental Europe also performed particularly well. Revenues from non-U.S. staffing operations have expanded from 11% of the staffing total in 2,000 to more than 30% today. We were pleased also to see higher demand for Protiviti's consulting and internal audit services. Demand was strongest for information technology-related services, as well as consulting solutions offered to the financial services industry. We believe one of the bright spots in the economy has been technology-related spending across companies of all sizes. We are witnessing this in Protiviti's information technology consulting practice and in our staffing operations. We have discussed in the past our investment in hiring technology recruiters to take advantage of the demand for skilled IT workers. We are pleased with the early returns in this investment as indicated by the current quarter revenues for Robert Half Technology, which were 29% higher than 1 year ago and 9% higher than the first quarter of 2011. At this time, Keith and I will be happy to answer questions. Please limit yourself to 1 question and a single follow-up as needed. If time permits, we'll certainly try to return to you later in the call. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Tim McHugh from William Blair & Company.
Timothy McHugh - William Blair & Company L.L.C.: First one to ask maybe, Keith, can you give us a little more color on the bill pay spreads? You talked last quarter how you saw improvement towards the end of the quarter. Can you give us the numbers and just a little more color around that?
M. Waddell: We did continue to see improvements. So year-over-year, our prices were up 5.6% in the second quarter and that compares to 2.5% for the first quarter, so that was better. Sequentially, on top of very strong sequential pricing in the first quarter, we were up another 1.7% in the second quarter. Very pleased with pricing, the supply on the temporary side continues to tighten modestly which is a backdrop that allows for a better pricing environment for us.
Timothy McHugh - William Blair & Company L.L.C.: And yet, the pay rates aren't going up or are those flat? What are you seeing there?
M. Waddell: The pay rates are up across the board. But they're not up as much as the bill rates but up virtually in every division.
Timothy McHugh - William Blair & Company L.L.C.: Okay. And then, the other question is you've talked the last couple of quarters, not just talked, but you have reinvested back in the business, particularly in technology and some of the other areas and you've talked before that if you saw success with that, you'd probably continue or even accelerate the pace of those investments. Couple of quarters out now since you kind of ramped up that spending, what should we be thinking going forward here? Have you seen enough that you're going to continue to spend, you'll slow it down, you'll accelerate it? How should we think about that?
M. Waddell: In the guidance we gave, we actually contemplate, actually dialing that up some, not only in technology but pretty broad-based across the other divisions given the success we've had. Our headcount investments have been concentrated in technology for the past few quarters. We'll continue to invest in technology in the third quarter. But in addition to that, we're also going to invest in headcount in some of our other divisions, particularly permanent placement given that success.
Timothy McHugh - William Blair & Company L.L.C.: And is that in the U.S. or is that more internationally? For the perm, please.
M. Waddell: Both. As you know, about half of our perm business is outside the U.S. and so we will add the headcount not only in the U.S. but outside the U.S. as well. And it's, I mean, not that we're going to go crazy, but the incremental margins we're looking for in the third quarter while a little lower than the incremental margins that we saw in the quarter just ended, there are still quite healthy margins.
Harold Messmer: Tim, I will add to that. As you know, since you followed us for a while. You have to be something of a surgeon deciding when to cut and when to add. And based on our experience and what we see and feel and hear from our field people, we think this is a time to be adding.
Operator: Your next question comes from the line of Kelly Flynn from Crédit Suisse.
Kelly Flynn - Crédit Suisse AG: A couple of questions. First of all, is it possible for you to give us the revenue growth for June for year-over-year for both temp and perm?
Harold Messmer: Well, Kelly, as you know, we've got a consistent practice of not breaking the months out. But I did say within the quarter trends that in temp, we grew sequentially every single month during the quarter. And if you look at the post quarter growth rate, it's close to what the rate was for the full year, notwithstanding the fact that, that contains July 4 holiday, which adds a little noise to the comparison. But I think it's safe to say that the trends during the quarter were very firm, which continued into the current quarter.
Kelly Flynn - Crédit Suisse AG: Okay, that's helpful. So I know you guys aren't economists. But as you pointed out, your results are a lot stronger than the June labor report was. So I'm wondering if you might give us some theories on this. I mean, do you feel like the June labor report or some of the broader labor data points are kind of understating the strength of the broader labor market or do you think we're seeing the temp secular shift or is there something else going on to explain kind of the inconsistency there?
Harold Messmer: I guess, a couple of observations. First of all, if you look at that June labor report, the brightest portion of that report was Professional Services accounting and IT. So I think that was a bit of an outlier relative to the overall report for starters. And then I'd also say that in our permanent placement practice, which is even stronger than temp and stronger than it would have been relative to prior cycles at this point, we're certainly seeing a fair amount of turnover in our clients that's also creating demand. And I'm sure you're familiar with these BLS JOLTS survey that actually shows labor turnover. And if you look at the professional segments of that, you'll see that the voluntary quits year-over-year is actually up, I think, it's over 20%. So not only is there demand from clients that are restoring their workforce from the very low levels they cut to, you're also seeing more voluntary quits that require replacement. There are several studies out there, Mercer has a recent one, Deloitte has a recent one that talk about there's a fair amount of frustration and unrest with the current employee base relative to coming to this long downturn, such that there's a willingness to entertain a new job. But again, we're seeing demand in perm not only from replacing prior cuts but increased turnover as well.
Kelly Flynn - Crédit Suisse AG: Okay, great. That's helpful. And then just lastly, could you review quickly that actuarial benefit that you mentioned helping gross margin in the quarter and just confirm whether or not there's any visibility on that happening again in the third quarter or later this year?
M. Waddell: So twice a year, we have a third-party look at our workers comp accruals. And last year and this year in the second quarter, it was virtually the same amount, $1.3 million. They won't look at those again until the fourth quarter. So there will be nothing in the third. So when we did our guidance for the third quarter, we also assumed a slight reduction in our temp gross margins because we won't have those workers comp credits that we had in the second quarter.
Kelly Flynn - Crédit Suisse AG: Okay, great. What was the credit in the fourth quarter of last year?
M. Waddell: You know what, on the top of my head, I don't know. We disclosed it, I believe.
Operator: Your next question comes from the line of Andrew Steinerman from JP Morgan.
Andrew Steinerman - JP Morgan Chase & Co: I wanted to jump in any color about Accountemps. As you know, Keith, Accountemps is sometimes actually flat to down. In the second quarter, it was up strongly. And if you could give us any color other than just general activity at small, medium-sized businesses, that would be great and a thought about Accountemps within the guidance in the third quarter.
M. Waddell: Well, the big change in Accountemps between the first and the second quarter is in what we call our accounting operations positions, which are the more transactional accounts payable, accounts receivable, payroll, general ledger. And that grew about as quickly as did the, what we call, the finance positions within Accountemps. A little less mortgage drag in the second quarter than there was in the first that we've talked about in the past, but a broader skill level participation in the second quarter than the first within Accountemps.
Andrew Steinerman - JP Morgan Chase & Co: Okay. And you're looking overall for 0% to 5.5% sequential growth. For overall revs, do you think Accountemps will be in that area for third quarter?
M. Waddell: Well, again, the summer months for Accountemps seasonally are never their best. But we do expect the momentum to continue. Now, adjusted for the seasonal comments I just made, but essentially the high end of our guidance at the revenue line says the year-over-year growth we've just experienced pretty much continues into the third quarter. And the low end, we back off of that. At the margin line, for reasons I just talked about, we expect lower temp gross margins. For the workers comp, we expect a slightly higher SG&A because of the discretionary investment hiring we think it's prudent to do at this time. And therefore, the incremental margins would be a little lower. The other comment I would make about the guidance. While we do expect Protiviti profitability to improve in the third quarter, you can't use the prior year as a judge because in the prior year, there was a huge utilization lift between the second and third quarters of the last year. Given the starting point with Protiviti, the utilization is much higher. You're not going to get as much incremental lift in the third quarter of this year as you did last. That said, as I started, we do expect further growth in Protiviti profitability in the third quarter.
Operator: Your next question comes from the line of Mark Marcon from R.W. Baird.
Mark Marcon - Robert W. Baird & Co. Incorporated: I was wondering if you could talk a little bit about where you are in terms of capacity in the United States across your flex divisions. And as you're bringing people on, how quickly are they ramping up now relative to prior cycles in terms of becoming productive?
M. Waddell: Well, relative to capacity because we've concentrated our additional hires in technology the past few quarters, we feel like we need to invest in our other divisions more heavily in this quarter and possibly into the fourth. So from a capacity standpoint, it certainly got entire[ph] in our flex divisions x technology, which is why we made the comments earlier. As far as how quickly they're ramping up, I'm not sure there's a notable difference. I mean, part of it, are you hiring experienced people from the industry, are you hiring people from the functional area that you're placing where you're having to teach them our business from scratch.
Mark Marcon - Robert W. Baird & Co. Incorporated: Right. In terms of the ramp up that you have had in technology, can you talk a little bit about how -- you do have a slightly different target that you're going after there relative to Accountemps. Can you talk about how quickly you're able to identify those clients and how quickly you're able to get the people up and productive within tech?
Harold Messmer: Well, I guess, the first thing I would say is the target client isn't that different than what we're doing in Accountemps. Our focus is in small to middle-sized businesses in technology, not the Fortune 1000. So identifying who the clients are isn't that difficult a thing. We've talked about how traditionally technology has been focused on large firms who did custom software development and that's certainly gravitated down towards smaller firms with the web, with mobile apps who tend to buy applications that need to be configured rather than wanting from scratch development. So it's a different type of requirement. But the hottest areas for us in technology are program or analyst, web developers, desktop support, network administration, it's those things that principally smaller to middle-sized businesses need.
Mark Marcon - Robert W. Baird & Co. Incorporated: Great. And how quickly are your folks getting productive in that particular subsegment?
M. Waddell: I mean, the numbers don't lie and you see our tech numbers. And we certainly had like 29% year-over-year growth, so we're pleased. That said, on average, tech is not as productive as our other divisions so that their SG&A is relatively higher during this period of higher investment. So there is margin, operating margin, upside as we move forward, and they get up to average or better productivity.
Mark Marcon - Robert W. Baird & Co. Incorporated: Great. And then can you talk a little bit about on the international side? You had an acceleration in terms of constant-currency revenue growth on a same-day basis in the second quarter. Where are you seeing the strength? And are there any pockets of weakness, particularly in Europe?
M. Waddell: Clearly, the strength is in Continental Europe. Our big 3 are Belgium, Germany and France. To the extent there's weakness, it's in the U.K. that's exacerbated as we try to manage our account base where we've got some accounts that have lower margins that we're trying to manage out as we move forward. But strength in Continental Europe, U.K.-a little soft.
Operator: Your next question comes from the line of Jeff Silber from BMO Capital Markets.
Jeffrey Silber - BMO Capital Markets U.S.: I get this question from investors all the time, so I'm going to pass it along to you. I'm just curious if you're seeing any impact on your business from linkedin and some of the other social networks, both from a competitive perspective and as an internal research tool?
Harold Messmer: Sure, we're asked that a lot too, Jeff. I'd say first of all, let's understand that passive candidates, people that already have a job that are on linkedin are not good candidates for temp jobs. So, frankly, linkedin is much more relevant to our perm business than it is our temp business. Our perm recruiters do use linkedin as one of many sources for candidates. It still takes a lot of time and effort to convert a passive candidate to a hired employee, and our small business clients essentially outsource that function to us. You still have to contact, engage, interview, screen, test, check references, check backgrounds, do a culture fit, do a soft skill fit, so there's still a lot that has to happen even after you identify a candidate. All of which, our clients pay us to do. Net-net, on the perm side, it's another useful place for our recruiters to go to recruit candidates.
Jeffrey Silber - BMO Capital Markets U.S.: Okay, I appreciate the color, and it sounds like you have been asked this before. Just a couple of numbers questions dealing with the guidance. I'm just wondering what share count and tax rate is embedded in the guidance? And what we should be budgeting for capital spending for 2011?
M. Waddell: So share count because of the 2 million shares we bought this quarter, about 1 million of those roll over into next quarter. So you should take it down 1 million. The tax rate should be roughly the same, give or take a few basis points. CapEx, we've been saying, 50% to 55%. I might alter that a bit to 55% to 60%. The timing of some of the things we're doing is a little faster than we thought, plus we've got a few other initiatives. So our current CapEx number would be 55% to 60%.
Operator: You're next question comes from the line of Sara Gubins from Bank of America.
Sara Gubins - BofA Merrill Lynch: Just turning to Protiviti. Could you give us some more detail about bill rates trends there and maybe talk about longer term growth potential and margin potential?
M. Waddell: Sure. Rate trends, if anything, the rates are actually a little better year-over-year in Protiviti than they are in staffing. We think that's consistent with what we hear and see with the Big 4 generally. Long-term growth, we do think it's a growth business at the moment. We're focused more on profitability than we are at top line growth. I think the more relevant growth statistic for Protiviti is that the gross margin line rather than at the revenue line, you'll notice that Protiviti's gross margin year-over-year grew 26% this quarter, which was double its rate of growth at the revenue line. On the profitability side, we were pleased that Protiviti was profitable this quarter as compared to a pretty sizable loss a year ago. We've said many times, our expectation is that we can get to low double-digit operating margins in the United States. For the third quarter, there's an August impact in Europe, not only in staffing but that's also true in Protiviti as well. And therefore, your reported margins for the third quarter in Protiviti will be impacted as they always are by essentially Europe going on holiday during the month of August.
Sara Gubins - BofA Merrill Lynch: And then within temporary staffing, are you seeing much variation demand by type of client, meaning smaller versus larger clients?
M. Waddell: I think, we're so weighted towards small to middle-sized clients. I'm not sure we've got a great basis to do that comparison. But we do have some larger clients. But, again, I'm not sure given our data, that's not a meaningful comparison. What we do know is that the data for the small to middle-sized businesses is pretty darn good.
Harold Messmer: The only color I would add to that is that we've talked before about more people adopting flexible staffing models given the economic uncertainty over the last couple of years. And I think there is at least a fair amount of anecdotal evidence that that is happening with our small to middle-sized clients. They're much more willing to use temporary help than before.
Operator: Your next question comes from the line of Gary Bisbee from Barclays Capital.
Gary Bisbee - Barclays Capital: I guess the question is on Protiviti. You won't give us a sense of exactly where the utilization rate of the full-time employees is? And if you're not willing to give a number, can you give a sense just directionally sort of how much that's improved and how much more the opportunity you think there is if I was thinking over the next couple of years?
M. Waddell: Well, we don't disclose the precise utilization rates. They have improved dramatically in the United States. They have not improved as dramatically outside the United States, which we're still working on. We said on the prior call, there are 3 levers to Protiviti profitability. There's utilization, there are bill rates and then there's the leverage model, the ratio of managing directors to their others. We've made great strides, particularly in the U.S., where the utilization, we've made great strides with the bill rates. So most of the upside as we move forward comes from improving the leverage model, which means hiring more young people at the low end of the pyramid and/or using more contractors from the staffing operations at the lower end of the pyramid.
Gary Bisbee - Barclays Capital: Okay. Well, you just hired my cousin. When I heard what he was billing out at, it sounds like that leverage may be working. But, I guess, the last question for me is just the Continental Europe. Can you give any more color? I know the 3 big markets there. Are you hearing from any clients, any less optimism around just what seems like declining business confidence data and other stuff like that, that I've always thought of as a good leading indicator for this industry?
M. Waddell: Right. We've had discussions with our top Continental European leaders as recently as a few days ago. And they're quite bullish, quite optimistic. They're certainly not seeing anything near the soft patch that's been described in the press.
Operator: Your next question comes from the line of Kevin McVeigh from Macquarie.
Kevin McVeigh - Macquarie Research: Keith, you beat two cents to the upside relative to the high end of the range. What came in much better than what you're expecting when they kind of give you initial guidance?
M. Waddell: Well, first, perm was clearly stronger than we expected. Conversions were stronger than what we expected, which are our derivative of perm. Having said that, there are still only 3% of revenue, which is still low relative to our traditional range. So perm was stronger, conversions were stronger and then just the volumes across the board were a touch stronger than we had forecast. We said on the last call when we did our forecast, we hope we were being conservative. But those would stand out.
Kevin McVeigh - Macquarie Research: Okay. And then in terms of -- as you think about Protiviti. I know you really don't quantify kind of the mix shift towards Accountemps versus Management Resources. But are you at a sustainable level where you want to be or does that mix continue to increase as we move forward here?
M. Waddell: Well, If they question is, do you solve staffing professionals on Protiviti engagements? We definitely think the current level is sustainable, and our hope is we can take it higher. So we certainly don't think it goes lower or that we're at a unsustainably high level. We think there is more upside there.
Operator: Your next question comes from the line of Jim Janesky from Avondale Partners.
James Janesky - Avondale Partners, LLC: Keith and Max, would you continue to invest into the fourth quarter in headcount? Or do you think that the third quarter should be winding down the investments?
M. Waddell: Jim, we make that decision every quarter. And that will depend on in part, what we've seen during the third quarter, what we feel the pulse of the business is in the early part of the fourth quarter. And our point of view, it's a good thing when we feel positive enough about business trends that we want to invest in more headcount.
Harold Messmer: Jim, most of the hiring is productivity-based as Keith has said on prior calls. And as we see production increasing significantly on a per-desk basis, we obviously add that data to our mental computers about how many people to add.
James Janesky - Avondale Partners, LLC: Did you -- was the spending back-end loaded in the second quarter, meaning, you felt more and more comfortable as the quarter progressed to add headcount?
M. Waddell: Well, we don't tend to look at headcounts in real time. We set a bogey for the quarter early on that was heavily technology-focused. And everyone knows, we revisit that at least quarterly. And so as I've said earlier, the thinking is we're going to, on a more broad-based basis, increase headcounts in this quarter.
James Janesky - Avondale Partners, LLC: Okay. And when you gave your guidance for the second quarter, what were your foreign exchange kind of assumptions or outlook?
M. Waddell: When we gave guidance for the quarter just ended, we didn't expect any big foreign currency changes. And while we've already disclosed to you the impact on revenues, the impact on earnings per share is much, much smaller. If you look on a sequential basis and convert everything to constant currency, it's 4/10 of $0.01. If you look on a year-over-year basis, while the revenue impact is high, the earnings per share impact is 8/10 of $0.01. So it has a nominal impact on earnings per share.
Operator: Your next question comes from the line of James Stanford from Citigroup.
Unknown Analyst - : Not much left to hit on here. But I wanted to touch briefly on the incremental margins on the temp side, I guess they pulled back slightly here. Historically, I think you've talked about getting to the low 20s percent in a recovery situation. Is that still in the cards or is this protracted recovery sort of dampening that incremental margin opportunity?
M. Waddell: So let's be clear. When we talk incremental margins, we're talking sequentially quarter-to-quarter. And based on that, our temp incremental margins this quarter were almost 22% and that's how we measure it. And that compares to last quarter when those incremental margins were only 8%. So in our -- the way we do incremental margin, we had a nice acceleration last quarter to this quarter. In perm, by the way, those incremental margins were 46%, which are tracking with the high-end of the range relative to the past. What we've said for our third quarter guidance, again using incremental margins on a sequential basis, they won't to be quite as high in quarter 3 as what I've just said were quarter 2 for the investment reasons I talked and also because we won't have the workers comp credits.
Operator: You're next question comes the line of Paul Ginocchio from Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG: Just a question about the ramp in perm. You talked about hiring perm here into the third quarter. Remind me how long it takes to fully ramp up a permanent recruiter. Are you hiring because of the utilization rates of your existing recruiters or you're just feeling better about the cycle and where we are in the cycle and this is the time to hire perm?
M. Waddell: Again, the ramp up here, it is a function of the experience level of who you hire and so that could be 3 months to 1 year based on their experience level. Are we hiring because of the need based on productivity or based on are we feeling better, I would say, it's both. Clearly, we stretched the rubber band pretty tight given the results of perm that have grown 40-some-percent now for a few quarters. And therefore, the productivity per person is high, plus we do continue to feel bullish notwithstanding the headlines you read every day about the outlook.
Paul Ginocchio - Deutsche Bank AG: Is this a real step change in your hiring that you called out or is it just a little bit typical, more typical of the ramp?
M. Waddell: I would say the latter more than the former. But we don't want make too big a deal out of this. Virtually all the hiring, if you listen to our people internally, it's like gee whiz, Tech's getting everything, what about me? And so all we're saying this quarter is it's going to be more broad-based.
Operator: Your next question comes from the line of Tobey Sommer from SunTrust.
Tobey Sommer - SunTrust Robinson Humphrey, Inc.: Most of my questions have been asked. I wanted to delve in a little bit more in technology. Have you seen the bill rates specifically in technology? Has that growth outstripped the company average?
M. Waddell: Frankly, it isn't that different. The absolute number, the absolute bill rates are a bit higher in technology to start with. So to get the same percentage on a higher number gets a better result. But they're not outsized growth rates relative to the rest.
Operator: Your next question comes from the line of John Nelson from the State of Wisconsin Investment Board.
John Nelson - State of Wisconsin Investment Board: Could you give us all a little bit more flavor on what's going on in the Asian markets and investments there?
M. Waddell: Well, we don't have a huge exposure to Asia, particularly in staffing. We do have a permanent placement operation in Tokyo. Protiviti has a larger operation in Tokyo. It clearly hasn't been negatively impacted the last couple of quarters by the earthquake and tsunami. If you broadened the question to Asia-Pacific, which would then include Australia, we're doing great in Australia. Not only on the staffing side but Protiviti as well. But they are kind of mineral-rich economy is doing quite well, and we're participating in that.
John Nelson - State of Wisconsin Investment Board: Okay. Is there any long-term plans for entering the additional developing markets in Asia?
M. Waddell: We do have plans. And in fact, we're already -- let's talk Mainland China for starters. So we have 4 locations in Protiviti where we've been there for quite some time. We're just beginning to add temporary services in Mainland China. We've been in Hong Kong for some time. So it is something we're beginning to address. It's small as we speak, but it's planting seeds for the future.
Operator: Your last question comes from line of Mark Marcon from R.W. Baird.
Mark Marcon - Robert W. Baird & Co. Incorporated: Just wondering if you could give us a general feel for what sort of percentage increase you've had in terms of your internal headcount and whether that's more skewed towards the recruiting or the account side?
M. Waddell: We disclosed headcount numbers once a year. We've generally said that absent special circumstances of investments, our headcount growth pretty much mirrors our revenue growth, and we haven't gotten hugely away from that. As to whether there are recruiters or account managers, our operating model is a little different than many in the industry, and our people tend to do some of each. So segregating one versus the other is not as meaningful for us.
Mark Marcon - Robert W. Baird & Co. Incorporated: Got it. So basically, the model continues in terms of following the revenue growth, and we should still continue to get leverage though because it is going to lag behind the revenue growth?
M. Waddell: I've said this many times, I think people over study leverage on our recruiters and account managers because what we spend as a percent of revenue in good times or bad doesn't vary that much because we have such a large variable incentive compensation component. So right now, we're paying much higher bonuses to our people because formulaically, they're entitled to those based on their production, and therefore the percentage of revenue we're spending on direct compensation, frankly, isn't that different. Where the operating leverage comes, it's on the administrative staff, it's on the back office cost, it's on the IT cost, it's more indirect overhead than what we pay our recruiters and account managers.
Harold Messmer: Thank everyone for your interest. That's all we have time for today.
Operator: That concludes today's teleconference. If you missed any part of the call, it will be archived in audio format in the Investor Center of Robert Half International's website at www.rhi.com. You can also dial the conference call replay dial-in details and the conference ID are contained in the company's press release issued earlier today.